Company Representatives: Michael Medline - President, Chief Executive Officer Michael Vels - Chief Financial Officer Pierre St-Laurent - Chief Operating Officer, Full Service Katie Brine - Director Finance, Investor Relations
Operator: Good morning and afternoon ladies and gentlemen, and welcome to the Empire First Quarter 2022 Conference Call. At this time note that all participant lines are in a listen-only mode, but following the presentation we will conduct a question-and-answer session. [Operator Instructions] Also note that the call is being recorded on Thursday, September 09, 2021. And I would like to turn the conference over to Katie Brine, Director Finance, Investor Relations. Please go ahead.
Katie Brine: Great! Thank you, Sylvie. Good afternoon and thank you all for joining us for our first quarter conference call. Today we will provide summary comments on our results and then open the call for questions. This call is being recorded and the audio recording will be available on the company's website at www.empireco.ca. There's a short summary document outlining the points of our quarter available on our website. Joining me on the call this afternoon are Michael Medline, President, and Chief Executive Officer; Michael Vels, Chief Financial Officer; and Pierre St-Laurent, Chief Operating Officer, Full Service.  Today's discussion includes forward-looking statements. We caution that such statements are based on management's assumptions and beliefs, and are subject to uncertainties and other factors that could cause actual results to differ materially. I refer you to our news release and MD&A for more information on these assumptions and factors. I will now turn the call over to Michael Medline.
Michael Medline : Thanks, Katie. Good afternoon, everyone. We are pleased with our first quarter results, especially as we cycled extraordinarily strong COVID heated sales and earnings last year. We continue to perform strongly and consistently. Our sales and market share was solid, our margins matched last year's outstanding performance, which had limited promotional activity last year and are actually up strongly when you exclude fuel.  Our SG&A is solid even as we invest in Horizon and our bottom line is strong, especially when you back out last year's real-estate gains. These are good results driven by great work from our team, and we expect more of this as we progress through Horizon.  I don't have much to say actually. We're happy with our results and focused on delivering Horizon. We continue to lap last year's COVID driven sales bump, but are seeing the behavior changes we expected as vaccine rates increase. With that in mind, I'll cover two topics today: our performance this quarter and the trends we're seeing in the market.  First, our results. As I said last quarter, two year sales stacks are the more meaningful indicator of sales as we lap COVID. With that mind, our two year sales stack for Q1 same store-sales was 8.1%, our same-store sales versus last year were negative 2.2%. Total sales increased 3.7% as we added Longo’s and fuel pricing consumption rebounded.  E-commerce sales this quarter were up substantially. We continue to believe that winning the e-commerce channel with the right business model, combined with strong bricks and mortar offerings is critical, is critical to success and grocery here and as you can see, around the world. We are particularly pleased with our progress in Ontario, Canada’s largest grocery market, where we have gone from zero to hero in a very short time, as we saw significant increase in Voilà's sales as it grew rapidly in its first year and added grocery gateway through our Longo's acquisition.  We continue to deliver the vast e-commerce experience in Canada to our customers and believe we have the winning formula. In Ontario we are now closing in on achieving a leading market share in a remarkably short period of time.  We continue to be extremely pleased with our gross margin performance, delivering a gross margin rate of 25.1%. Just like last quarter, we continue to match last year's outstanding margin performance, even as promotional activities picked up again. Our food margins are strong. This is a direct result of the progress we are making on Horizon, as well as the addition of Longo's and recovery of our service departments.  Our sales mix, especially increased fuel sales created some noise in our margins even as our Horizon benefits provided strong margin support, and Mike will speak about that more in a moment.  With our strong sales and margin performance we delivered EPS of $.70 this quarter. Last year our EPS has a $0.04 net benefit from unusual impacts, including a gain in real-estate and payment tied to collective bargaining. Removing these EPS actually increased a noteworthy 4.5% over the prior year, even without last year's large COVID bump.  As I've said before, returning capital to our shareholders is an important part of our strategy. Results like these allow us to deliver on that. Over the last three years we have grown our dividend per share at a compound annual growth rate of 10.9%. We increased our NCIB in April after we announced the Longo's acquisition and renewed it in July. After only one quarter with Longo’s, we have already repurchased all the shares we issued as part of that transaction.  Next, trends we are seeing in the market. Last quarter we spoke about our future expectations as vaccinations accelerated. We are seeing those expectations play out in the market through the quarter. First, as others in the industry are experiencing, customers are shopping a bit more as restrictions easy and vaccinations increase. We're seeing traffic up and basket sizes down, but these have not returned to the same levels as before COVID.  Second, Canadians are starting to shift some spend back to the restaurant and hospitality industries. As we expected, this means customers are spending slightly less on groceries than at the peak of the pandemic. Third, as others have mentioned, promotional activity is pretty well back to the same it was pre-pandemic. And fourth, we continue to believe customers are seeing the value in our full service offering more than ever. We are seeing more pre-pandemic customer behaviors returning, such as customers returning to our higher margin prepared foods and service counter offerings. While we are seeing the split between full service and discount banners slightly stabilized, it's certainly not to the degree of pre-pandemic norms. Altogether, we expect same store sales will continue to be elevated when compared to pre-pandemic levels, but obviously a bit lower than the unusually high industry sales of fiscal 2021.  As we expected, the grocery industry is in the period of transition. While the industry undergoes these changes, we remain focused on delivering against our strategic objectives as this team has done for the last four-plus years. By keeping this focus, our team has achieved an impressive amount in that short period of time.  A few examples: At the start of Sunrise we were honest about two important issues that we needed to resolve. One, we needed to fix our big Western Canadian businesses after the Safeway Integration; and two, we needed to grow our share in Ontario, Canada's as largest and fastest growing market and the region in which we had the lowest share.  Today, I can say to you that we have fixed our Western business, turned it around, operational performance, sales and profitability have significantly improved and we have more upside to go. And in Ontario, we have materially grown our market share by improving execution in our existing stores, expanding Farm Boy’s presence, launching Voilà and partnering with Longo’s. Our market share in Ontario has grown roughly 30% since fiscal 2017.  Finally, two accomplishments our team is very proud of over the last month. First, if you live or work in Quebec, especially I'm sure you're aware of the newest member of the IGA family, Ricardo Media. After working together for many years, I'm pleased to officially welcome Ricardo Larrivée and Brigitte Coutu to the family. We're excited to see the innovation and growth fueled by this continued partnership in Quebec and throughout Canada.  Second, we released our fiscal 2021 sustainable business report. Our sustainable business report outlines our journey and shares much of our progress. It also for the first time includes disclosure against FASB, a world leading disclosure framework to improve visibility and comparability of our performance.  At Empire, sustainability and diversity equity inclusion have been on our agenda for many years, and while there is more to be done, I'm very proud of the progress we've made and where we are going with that.  And with that, I'll hand it over to Mike. 
Michael Vels: Thanks Michael. Good afternoon, everyone. I have a couple of comments on the quarter by performance and then we'll move straight to questions.  Our gross margin rate was strong this quarter, even against the tough comp last year. And if you remove the impact of fuel, it was 40 basis points stronger than last year. Overall, we continue to be very satisfied with our margin spend throughout business and the positive impact at Horizon new initiatives, such as our promotional optimization program we're having on margins.  SG&A as a percent of sales was 38 basis points higher for a few different reasons. We now include the Longo’s business that has higher costs and margins in our average, and we'll continue to see this effect until we comp their results next year. Both our management teams, both at Empire and Longo’s are working to unlock synergies and are making good progress.  We continued our expansion of Farm Boy and Voilà in Ontario, both of which result in higher SG&A, and finally our depreciation is higher, largely due to an increase in right of use of asset depreciation under IFRS 16, reflecting an increase in occupancy costs. These SG&A increases were partially offset by reduced COVID costs in the current year and the non-recurrence of the prior year costs related to the Alberta Labor Agreement.  The effective income tax rate for the quarter was 24.5% and we estimate that the effective rate for fiscal 2022 will be between 26% and 28% excluding the effect of any unusual transactions or differential tax rates on property sales that we may have. The effective income tax rate for the quarter was positively impacted by non-taxable capital items and differing tax rates of various entities.  Earnings per share this quarter was net of $0.05 per share of Voilà dilution, the same as last year. Total Voilà costs will increase as CFC 2 in Montreal begins operations. We build CFC 3 and we continue to expand our store e-commerce solution across the country.  As CFC 1 continues to earn your respect and loyalty of our customers, we’re welcoming and welcome new customers and expand this geography. We expect it to reflect positive EBITDA results towards the end of its third year of operations, which will partially offset the impacts of opening new CFCs.  Equity earnings increased year-over-year due to higher earnings from our Genstar real-estate developments and higher Crombie REIT earnings due improvements in their bad debt levels post the COVID impacts last year. Free cash flow continues to be strong this quarter, and we have great projects to invest it in it. We improved 25 stores this quarter through renovation, redevelopment or conversion. We also as of this week, in fiscal 2022 year-to-date, we have repurchased approximately 3.3 million shares for a consideration of a $133 million.  So our fiscal 2022 is off a good start. Q1 was a solid quarter, especially when compared to COVID driven results last year. We know that we will be up against the tough comp of COVID for the next few quarters, but Horizon is on track, our teams are engaged in working hard and we are ready for what the remainder of the year has to bring.  Before we get into questions, it's hard to imagine that we spent a little over a year talking to Longo’s; first in partnership talks, and then for the past five months as part of the Empire family. We've had great early interactions already, and there's been significant work between the two management teams reviewing synergies and growth opportunities and we're so happy to have them as part of the family.  And with that Katie, I'll hand the call back to you for questions. 
Katie Brine: Great! Thank you, Mike. Sylvie, you may open the lines for questions at this time. 
Operator: Thank you. [Operator Instructions]. Thank you. And your first question will be from Karen Short at Barclays. Please go ahead.
Karen Short: Hi! Thanks very much. I had two questions. The first question is just, when you think about the competitive environment today versus pre-pandemic, it sounds like your trying – you are saying that it has returned to normal. So, the question I had is how is the actual environment from an in-stock perspective? Because one of the things that’s happening, at least in the U.S., is that in-stock levels are still not back to normal, which is making the promotional environment remain much more muted for a much more extended period of time. So I was wondering if you could kind of contextualize that and then I had one other question. 
Michael Vels: That's a good question. You're absolutely right. We're net back to where we were before pre-pandemic in terms of supply from – and even from big suppliers, so… But we are able to manage it efficiently. I don’t think it’s visible for customer, our shelf are full, but you are absolutely right. Some supplier are – we are still in a location with major suppliers. So the service level is net back at the same level. But once again, I don't think it would compromise the customer experience in our store. 
Karen Short: Thanks for that. But going forward, you do expect the promotional environment to be more or less relative to 2019 levels. 
Michael Vels: Like Michael said, we're almost back to the same level of promotion activity. I think as we move back to the normal, like we said, last year it was less promotional for all the reason we know and this year we’re almost back to the same level than we were pre-pandemic; nothing major to call here. 
Karen Short: Okay. And then with respect to the remainder of the year, maybe could you just give a little color on puts and takes to think through on both the gross margin and operating expenses as we go through the year? 
Michael Medline: Sure. I see the effect of the increased fuel sales continuing to create some mix impacts on our gross margin rate, because although fuel sales did increase, I see there's more room for them to increases as reopening occurs. So you should expect that mix impact to reoccur in our gross margin line.  We're comfortable and actually very happy with the progress so far on our Horizon initiatives, which do come through and have come through mostly really in margin expansion and so far as we’re working on prom optimization and that sort of thing. We expect that to – improvement to continue through the year.  The sales lifts and the impacts of our renovations have been strong. We've been happy with those, the Farm Boy stores, and we've opened a lot of them over the last month to 18 months, are all performing strongly and we expect those to be residual and continuing improvements through the rest of the year.  And our discount business is managing its margins very well, and we're continuing to see market share increases in discount in Western Canada as we open new stores in Western Canada. So those were all positive impacts that mostly are internally generated. We do expect to see some mitigation in our ongoing COVID costs, but they are now down to a relatively low level. Other than that, I'm not sure that I’d call out anything beyond that. 
Karen Short: Okay. And then just last question for me. I think the comment was specifically you have leading e-com share I think in Ontario is what you said. Maybe can you just clarify or if you could provide what you think that share is? And then when you make that comment, are you including click and collect in that calculation or what's – how are you defining the market? 
Michael Medline: Yes, it's Michael. We include everything in that calculation and we are accelerating on everyone in the market and we will be a leading e-commerce player, if not now, very, very soon. We started from zero e-commerce in Ontario basically 12 months ago, and the combination of Voilà and Grocery Gateway, it puts us in a great spot.  And I think people sometimes don't look at e-commerce the right way. You look across the globe, you cannot succeed in the long term without being great at bricks and mortar and e-commerce, and it’s a key part of our strategy, not just on the e-commerce side, but to drive our business going forward. So I can't wait to get the other two CFCs open as well, and then we could see the kind of success we're having in Ontario. 
Karen Short: Great. Thanks very much. 
Operator: Thank you. Next question will be from Kenric Tyghe at ATB Capital Markets. Please go ahead. 
Kenric Tyghe: Thank you and afternoon. Gentlemen, I wonder if you could provide some insight, just from you seat, the ebb and flow of sort of working through the pandemic here and just directionally even some of that consumed behavior and again how that could evolve? I mean we're all sitting in different seats and have different perspectives, but it will be really useful, even direction to just understand how you see the range of outcomes through the balance of this year with respect to the things for sales, the things for sales comps. Just trying to get some – a better feel and able to try and get it a little more accurately than we can now. 
Michael Vels: Hey Kenric, it’s Michael. Great question and I’ll start this like I started an answer six months ago that I'm no [inaudible] But we've been pretty darn accurate in terms of what we thought ever since the beginning of the pandemic in terms of at least customer behavior. And you know we're still seeing – I think people talk too much about the difference between conventional and discount, that's not the main driver here. The main driver is customer behavior and trips to the grocery store and basket size. It's not so much conventional discount. That's on the margin compared to some of the other things. Like people talk about that way too much, and it's not what we see in the market for sure.  You know, I don't know where it's going in terms of waves throughout the country and hopefully this starts to dry up. But I'd say that that each wave has a smaller impact on this industry than the previous wave. And that's what we've seen throughout, that's what we thought would happen and we continue to see that.  Compared to two years ago, this is a different industry. We're seeing elevated performance in our stores and online. But I don't think that unless there's some strange phenomenon that I can't foresee right now, I don't think there's going to be – I hope there's not a sudden rush in the grocery and that everything starts to get better.  But I wouldn't also – as talked about this before, although behaviors are getting back to normal, they may never get totally back to normal and that's something that we've got to watch, even in markets where there's relatively few cases, and not too much worry about the pandemic. We're not seeing exactly the behavior we saw before. We're seeing more people go to the grocery store and spending more money.  Is that helpful Kenric? Is that what you were looking for?
Kenric Tyghe : Thank you, Michael. That was good, some really good insight. Just one quick further question for me. Just on the margin profile, can you sort speak to you know the – are there any learnings and which way are those learnings flowing in fresh, sort of a first quarter in on Longo’s here. Clearly a high gross margin profile in that business and a very fresh forward business. But any insights you can share, whether there have been any learnings or whether you see any real opportunity there on the sort of margins impression in your fresh profile going forward? 
Michael Vels: Well, we're very familiar with Longo’s. Of course we've been watching them for a long time and we’ve respected them through all that time. And they do have to your point, a different mix and different format and the customers are very loyal. So in terms of learnings between the two businesses, for sure similar to Farm Boy, proving well of our expertise relative to private label is something that all of the management team’s kind of immediately looked at as an obvious, and that's all a bit about innovation and new products and positioning private label. So that's been something that's been a great area of cooperation and collaboration.  We are looking at how we all buy Fresh, and we will have different ways of buying Fresh, particularly for produce. And there's a little bit that each business can teach each other on that one and we have particular suppliers, sometimes Longo’s, sometimes not that we can leverage. Beyond that, I think we're still getting to know each other and exploring other areas of opportunity. 
Kenric Tyghe : That's great. Thanks a lot guys. I'll get back in queue. 
Michael Medline: Thanks, Kenric. 
Operator: Thank you. Next question will be from Patricia Baker at Scotiabank. Please go ahead. 
Patricia Baker: Thank you, and hello everyone! I've got a couple of questions. First of all Michael for you. I really like to talk a little bit more about the progress that you’ve made in Ontario with those market share gains that you shared with us.  So obviously you know Farm Boy plays a role here, Voilà plays a role on those FreshCo 2.0. Those are big changes in the market in Ontario strategically that you've addressed. But can you also point to what's that you've done on the brand and perhaps early days with Horizon on store renovation and expansion? Just easing the higher share at the organic Sobeys business in Ontario as well? 
Michael Medline: Yeah, thank you. The last part is really important, because obviously we've set out as we are pretty clear on that we had, we had some weakness four and a half years ago in Ontario in the GTA and in e-commerce and we set out to fix them and we've more than fixed them. But we shouldn't – and my colleagues would be mad at me if I didn't also point out the incredible progress we've made at Sobeys and FreshCo in Ontario.  And the banner, we don't talk a lot about, which has been on fire even before COVID and during COVID and now is Food Land, where the performance there is just being extraordinary, led by three of our great individuals are coming up through the company.  And so I think a lot of it has to do and it always comes down to execution in store, via merchants and specialty operators and our store operators and it is night and day in our stores across the country, but especially in Ontario in our stores. But the brand investment that we began in 2017, which is as you probably know takes time and work over and over again, is paying off the perception of our brands in terms of how they are situated, how they are in the community, what the pricing is.  We haven't seen better price perception in our banners, well certainly since I joined, as we have in the last three to six months. All of this contributes and I never said this before, retail detail it is true, and it’s a bunch of different things coming through to put us in this position where we are so much stronger and I'm sick of talking about COVID for many reasons, but one reason is because it is – I think it's…  We performed really well in COVID and now we're lapping that performance and then others might not have performed as well and now they are lapping that. And I think it's overshadowing the huge change at Empire Company that we've seen, and that will shine through very, very soon. 
Patricia Baker: Okay. And then a follow-up on that Michael, two quick things. So would it be fair to say that when we look at the whole project Horizon and that's all about, not all about, but a big part of that is driving further market share gains and driving the top line. So with respect to the important market of Ontario, you believe that the share gains that you've got are for the most part sustainable and that you actually see a path. This is not the end game, is the path to further market share gain? 
Michael Medline: Oh, yeah. We are on the move in Ontario and it’s nothing to do with COVID, actually it’s small. I really think people are over emphasizing some of the things now from COVID and they are over emphasizing this conventional discounting instead of looking at execution out there. And I have great confidence across the country, and you didn’t point out the west, where I think we've made the biggest gains of anywhere in the country and we had the farthest to go. But we have strength all through the country, but we were really not a player in Ontario. We are a very important player on the move in Ontario now. 
Patricia Baker: Okay. And this one is a follow-up on a point that you just made that you said that brand investment is paying off, and maybe it's too early to tell, but I know that in the quarter, Sobeys was the sponsor at the Olympics, and I'm just curious what the impact of that campaign was on your brand? Do you have any indication that that was a successful spend for you? 
Michael Medline: Yes. We're really happy, it’s our first time, we're the first official grocer for the Olympics. We had great exposure as you saw and can’t wait for the Winter Olympics, which is even bigger in Canada, coming up and we'll be big there too.  We 100% saw positive impact. It is – the Olympics is the most powerful and exclusive platform and so we're lucky to be there. It's hard to quantify these things always financially, especially in the short term, but we have really, really good ways of tracking impact of our campaigns in market and this is our first campaign, our first time we put the brand on this, and we’d… Sandra Sanderson and the whole marketing team plus our operators and merchants hit it out of the park. We were right at the top of impact among the sponsors with the view in public. And I think if you saw our sponsoring the games, you’d probably agree. I think they were probably one of our best spots, if not the best spot we’ve ever had. So now Sandra’s got it deep down for Beijing, so. 
Patricia Baker: Well, good luck to her. Mike, if I can just ask one more question for you. In the release, you indicated that a reference to the fact that Voilà, the metrics that Voilà are going to better than planned. Can you take a bit to this and then just I’m curious about how that experience with the Toronto CFC is informing your plans and expectations for what you're looking for out of Montreal. 
Michael Vels: Sure. I think the first part of your question was just some insight into the metrics for the CFC, correct? 
Patricia Baker: Yes, yes. 
Michael Vels: Okay. In this effect, I'd say probably boring is good. The CFC started off with exceptional metrics and then as just either kept those metrics up or has got better. So on time fulfillment, no substitutions and all of the other customer metrics have resulted in net promoter scores, which have been remarkably high and remarkably stable throughout the higher process, which I think is impressive, because as you start repeating customers, they start to get more picky and it's important to keep a little service up. So all of the customer facing metrics are exceptional.  Inside the CFC, I've said this to quite a few people. I’m personally quite surprised at how quickly and efficiently it started up, very few teething issues and that CFC is now operating from an efficiency perspective, right at the top of all the Ocado facilities worldwide, so very strong from that perspective. Yes, they keep telling us that and they're quite a little bit surprised about it, but I think it's absolutely right.  And then other metrics that are helping us and one of the reasons that we're improving those numbers is our shrink numbers are coming down as we get a better handle of our purchasing patterns. We’re starting to get used to seasonality as we go through the summer, which is generally a lower time for e-commerce sales and how to manage that capacity that frees up and how to just generate more sales through quieter periods. So yeah, it's really on track. We're just now, and how do we continue to throw our customers? How do we increase the assortment? How do we improve price perception? How do we make sure that our promotions are on point, etc.?  On the CFC, just CFC2, it's really, it's not exactly rinse and repeat, because it's a different it's a different place, it's different customers, we have an installed customer base. But certainly from an operational perspective, tons and tons of learning, which I'm not going to bore you with. The most significant difference really is that we have existing customers who are used to a certain level of service and assortment and they love their IGA stores. And we're going to have to make sure that what we give them is at least as good as that and certainly our aim is to be better. They're very discriminating. They know what they like, and we need to satisfy their needs right off the bat without any learning curve. 
Patricia Baker: Thank you very much. 
Operator: Thank you. Next question will be from Michael Van Aelst at TD Securities. Please go ahead. 
Michael Van Aelst: Thanks, good afternoon. I wanted to follow-up on the e-commerce side and maybe you could help me just understand some of the commentary, because in the press release you say that online grocery sales in Canada continued to grow. But then on the next sentence it says sales remain consistent for the company's three e-commerce formats, excluding Grocery Gateway.  So are we seeing – is that other one kind of like a comment? Is the first one on the industry a comment for like the last 12 months and then this one in the quarter, the three divisions, what do you mean by ‘the three e-ecommerce formats were consistent.’ 
Michael Vels: Thanks Michael, and I do feel that you're right that that could be somewhat confusing. So our first comment was more industry in general and referred to more of a long term retrospective. So obviously the largest then driven by COVID. There has been a step up in penetration, and we expect that to continue and we expect it over time to grow.  Yes, there was a COVID blip in there, so we're not talking about e-commerce sales increasing over the COVID numbers. So I can see how that would have been confusing. What we're just saying is that e-commerce is a strong channel. It has increased materially and we think it's going to keep growing.  In terms of our own performance, we've – and maybe we shouldn’t have maybe talked about the same. We have Voilà which is new to us at least and growing as it ramps up and gains new customers. We have Grocery Gateway that we purchased through Longo’s and we have our installed fulfillment format, which we started in Atlantic and we’re rolling across the rest of the country.  Our experience in e-commerce in total for the quarter would have been a significant increase, but a lot of that’s driven by Grocery Gateway. If you take Grocery Gateway out, because it's an acquisition and doesn't have a comp for us, we would have experienced in total for the country, roughly flat e-commerce earnings. As I said, we're in a bit of a lull because we're in the summer, and secondly, we’re also coming off some very material COVID numbers in our Quebec business from last year. 
Michael Van Aelst: Okay, and last year you only had Voilà up for, I think it was half the quarter. So how would that have performed excluding Voilà then in Ontario and BC, I'd assume it was down a little bit given your lapping really tough comps. 
A - Michael Medline: No, Voilà continued to grow.
Michael Van Aelst: Right. So Voilà grew at Quebec. 
Michael Medline: Quebec was off because of the very significant comp with last year's COVID numbers. 
Michael Van Aelst: Okay, yeah, that makes sense, okay great. And then I don't want to go straight to numbers, but the outlook, you say you're expecting earnings growth to be less than fiscal ’21, but earnings growth in fiscal ’21 was 25%, so that's a pretty wide range. Am I reading that correctly and as you expect same store sales to be lower than last year, but also sales earnings growth to be less than last year or is it earnings to be lower than last year? 
A - Michael Vels: I’ll try and clarify that. So we outlined when we started Horizon, that we would – as management we we're targeting towards the EBITDA increase, but also we felt that that should translate at the bottom line to roughly 15% pump on average growth rate in net earnings, and now here we are finding ourselves in F’22 with a F’21 number that was significantly inflated by COVID and all we're saying is, don't take the F’21 number and add 15%. So we're not saying that our numbers are necessarily going to be lower in F’22. We’re just saying they're not going to be at a 15% growth rate if you take F’21 as a base. 
Michael Van Aelst: Yeah, that's clear. Thanks very much Mike. 
Operator: Thank you. Next question will be from Mark Petrie at CIBC World Markets. Please go ahead. 
Mark Petrie: Yes, good afternoon. I just wanted to follow-up on your comments Michael with regards to the Western Canada business and with regards to that now sort of being fixed and… Are you basing that more on sort of qualitative evaluations or is it more quantitative, you know be it in some of the store level profitability, customer feedback. What are you sort of basing those comments on? 
A - Michael Medline: Basing on top line, bottom line, brand scores, including customer feedback and the work we've done to turn around our stores in terms of renovations. 
Mark Petrie: That's it? Okay. 
Michael Medline: This is not just my opinion, this is – although my opinion, it's usually accurate on those ones, but its top line and bottom line. We’ve seen tremendous turnaround of our western business and still have room to go. 
Mark Petrie: Yeah. Okay, understood, I appreciate it. And then actually just one small one. Following-up on all of the Voilà discussion, I know customer retention is something that Ocado talks about a lot and you know hangs their hat on. Is your customer loyalty still exceeding expectations? 
A - Michael Medline: That's very, very strong. The Ocado model which we have here is best-in-class and we've got great customer retention. 
Mark Petrie: And related to that, how have you adjusted your promotional spend as Voilà has sort of built awareness. Obviously still room to grow that, but how have you adjusted your promotional spend and your tactics? And is that sort of online or in line with your expectations or how has that played out? 
A - Michael Medline: I think – I mean Mark, I know you watch the industry pretty well and you're probably looking online and getting offers from us, and you've seen that we've been trying different things to make sure that we keep our momentum and especially as we come into – I mean summer is usually slow in e-commerce and now back-to-school, we're back in the fall. Make sure that we continue the momentum we had before.  It is – we started off because we just wanted to make sure that we were operating well, not very promotional. We went more promotional and tried different things to see what worked, kept what worked, got rid of what didn't and now we're very happy with the promotional mix right now. But Voilà with the – like literally hourly data that they get and is very, very agile in terms of attracting or retaining customers and doing what we have to do out there. You saw some of the monthly and annual passes that we put in place as well.  So with the things that we know what to do in Canada, plus probably daily contact with Ocado and talking to the other partners, remember, almost all the great retailers on earth have tried to get Ocado and so we now are open to best practices across Europe, the United States and soon to be Asia.  So we're not too proud. We'll take whatever works and we're trying all that. Canada is a little different and you've got to make sure it works for you. But I'm now happy with what they're doing in terms of promotion; it's right on. 
Mark Petrie: I appreciate the comments. All the best! Thanks. 
A - Michael Medline: Thanks Mark. 
Operator: Thank you. The next question will be from Irene Nattel at RBC Capital Markets. Please go ahead. 
Irene Nattel: Thanks, and good afternoon everyone. I just wanted to shift topics a little bit for a minute and just talk about what you're seeing in terms of cost push, both on the labor side around labor costs and availability, but also the kinds of discussions that you might be having with suppliers, you know now that we're heading to this critical after labor day period and those conversations typically dry up. 
Michael Medline: Pierre? 
Pierre St-Laurent: It depends on regions or in some region its more – its difficult than in others. Quebec is tough and BC, but in the rest of the country it's manageable. I know supplier have some issue in the labor and ability as well. That's why we are in the location with some of them.  We believe that after summer the situation will improve, and we have good tactics and plan to improve efficiency in store and making sure that our labor will be used for customer experience and production versus you know that – one that you added a task. So it was like that before the pandemic in some provinces.  We then accelerated through the pandemic, and now we believe that we will come back to more pre-pandemic situation and we have a plan to – we had a plan before pre-pandemic. We had to pause it, but now we're working on it to improve efficiencies that’s all over. And you know where RC [ph] is as well, so we have a lot of labor in our ROIC. We're very lucky and – not lucky, but I think it's a good decision we've made in the past to have automated BC’s and Calgary and Ontario and Quebec, and I think we're in good position because of it, but it's not enough. We need to continue to work towards that. 
Irene Nattel: That's really helpful, Pierre. Which areas do you think have the most opportunity around sort in-store, improving in-store labor efficiency and eliminating non value added tasks? 
A - Michael Vels: To be honest, it's a cultural thing, and I think internally we can do a lot without compromising customer experience. As a backstage team, there's many opportunity where we can improve our performance. So doing the right thing first as the backstage teammates will change life in store, and we strongly believe that we have the control on it. 
Irene Nattel: That's helpful. Thank you. And then just on the inflation question, what kind of discussions are you having? Is it your expectation that we'll see another step up in overall consumer pricing, and what has been the consumer response to-date? 
Michael Vels: Like you know, we had inflation in Q1, almost the same level, slightly lower than the previous quarter, Q4. It's very volatile, the pan of categories. So into the Q1, we saw more inflation in there in seafood. Now, I think that talk of the town is meat, but I think customers adjust their spending behavior as prices increase and often they will purchase other succession products, and it's our job to showcase these different commodities at the right price looking – at the price they are looking for.  So it's our job. It's a day-to-day job. You know it's not new seeing volatility and prices, especially in the commodity side and when it's getting too high, customer changing their behaviors and going after a substitute. 
Irene Nattel: And what about center-of-store at this point. It sounds like that's not really been a big factor so far? 
Michael Vels: We have as forecast increased from supplier, we didn't take many cost increase. It's very important for us to be selective on taking cost increases and we do our best for our customers all the time, but some of those increases are going to move to retail for sure, especially when we’re challenging our supplier partner all the time. They know that, it's not new, but sometime its commodity pressure, raw material is increasing. So we have the roughest processes to look at this task and most of the time we get – we are able to reach an agreement with our supplier and making sure that it's well, I would say it's good backup for these cost increases, and most of those when we agree on are going to retail. And you're right, actually there's a lot of past from supplier for different reasons. But we continue to challenge these to protect our customers as much as we can. 
Irene Nattel: That's very helpful, thank you. And then just finally if I might, back to the whole subject of e-commerce, just wondering how you're measuring those market share numbers? And why your data is showing you around sort of new customers that you are gaining or that if you were poaching [ph] from other e-commerce suppliers? 
A - Michael Medline: I'll start off by saying Irene that is a remarkably difficult calculation, figuring out exactly what the e-commerce numbers are for each and every participant in the market, not just the big players is difficult. And so a of lot of our work is internal triangulation and trending in addition to some of the data that we get from market research companies. So that's all to say. It's not necessarily a point estimate and clearly something that we look at on more of a trend basis.  But if you look at the numbers and you look in terms of – we have visibility which is ours, we do fundamentally, believe that we're getting material share in the channel, and we're getting it from non-South-East customers. Now that's partly because we sell that with a relatively small share in Ontario’s as Michael said, but I don't think people are discriminating there. We're not getting customers because they used to or shop Sobey’s. We're getting it because of the brand standing for customer service, greater assortment, good pricing and people getting turned on to Voilà as a real option in their shopping, in addition to what they are doing in bricks and mortar stores. 
Irene Nattel: That's really helpful. Thank you. 
Operator: Thank you. Next question will be from Vishal Shreedhar at National Bank. Please go ahead. 
Vishal Shreedhar: Hi! Thanks for taking my questions. Just with respect to the improvement that you've been noting for several quarters across the business, you know once upon a time for Empire, there was a perception that Quebec was the region maybe where Empire was the strongest, maybe the west is not the strongest. I’m wondering how all these regions stack up to one another. Now is it more uniform or do you still think there's disparity across the company? 
Michael Medline: There's still some disparity, but they are closer. 
Vishal Shreedhar: Okay. And in terms of the net promoter scores that you're seeing, is there consistent improvement along with these numerous initiatives that you're implementing? And along with your comments that the west has substantial repaired from the state that you inherited then. Are those – that net promoter scores improving as well? 
Michael Medline: Yes, they are improving and we think – I mean it's been a long journey, but we're starting – it's starting to accelerate and you know I said it before, it starts in the store and the people in the store and then all the other things we've been doing. We should learn to emphasize the changes we made to project Sunrise are really starting to pay off and now Horizon is just at the beginning. 
Vishal Shreedhar: Okay. And Empire has done a lot of work over the last few years that’s showing up its market share in the GTA and as you mentioned in your prepared comments, those focus for the company. Is the market share where you need it to be at least at – with your multi banner approach in the GTA or do you think there's some more work to be done there? 
A - Michael Medline: Well, we're way better than we even could have expected in 2017 because of some of the opportunities like the Ocado Voilà opportunity and the ability to buy Farm Boy and Longo’s, which we didn't count on to be honest with you, so we're way ahead. But we still have – I mean as you know, we're not stopping Voilà nor Farm Boy nor Longo’s expansion, but we still have plenty of opportunity in our more historic banners to grow those. So I believe that if I were a betting person, which I'm not, I would think that we're going to be gaining market share for the next number of years. 
Vishal Shreedhar: Okay, thanks for those comments. And maybe just a quick numbers question here. The gross margin preview up 40 bips was a good result in light of the unusual quarter we had last year and there are lots of moving parts in there. There’s Longo’s, there’s project Horizon, there’s the service cameras coming back, maybe other factors. Is it possible or are you able to prioritize maybe what the major drivers were for that gross margin? 
A - Michael Vels: Certainly the expansion of Farm Boy and Longo’s does have an impact on the net rate, but the largest part of it was for sure Horizon and then everything else beyond that is relatively small. 
Vishal Shreedhar: Okay, thanks for the color. Much appreciated. 
Michael Medline: Thanks Vishal. 
Operator: Thank you. Next question will be from Peter Sklar at BMO Capital Market. Please go ahead. 
Peter Sklar: Thanks. On the – for Voilà on the financial guidance you're providing, what you're saying is that you expect this year, fiscal ’22 to be the peak dilution year. So I think that means you expect this year to be the peak year for losses from Voilà in aggregate and then the loss rate coming down in fiscal ‘23.  So how does that work, because you've got the GTA, CFC that should have less losses next year as you ramp it up, but on the other side of the ledger you'll be in the peak of the losses of the Montreal facility as it begins to ramp and plus you'll be working on Calgary. So I just don't see how the arithmetic works for you to make that statement, unless you get a pretty dramatic ramp up in the financial performance of the GTA business. So if you could just give us some flavor around that? 
Michael Vels: Sure. Well, GTA is consistently improving, which clearly on a consecutive basis it cuts into that dilution materially as you move towards breakeven. Montreal starts with an existing base of customers, that's very helpful for the business and helps us with a number of things, including lower shrink, less dollar cost, that sort of thing. And yes, so those will be the two most significant moving parts.  And we also – sorry, there’s a [inaudible]. We've also invested materially in our back office, supply chains, replenishment and all of the administrative and SG&A that we need to run when it is really a separate self-standing business. We don't have to replicate that when we get into Montreal. 
Peter Sklar: Okay. And when did the Calgary cost start, Mike? 
Michael Vels: Much later in F’22. 
Peter Sklar: Okay. And this is my last question on a different topic. Michael, you brought up a couple of times in your discussion today about promotional optimization and that's been one of the factors in your financial improvement. What are you talking about there? Are you saying that – like what is it, you’re hiring more skilled merchants or using new analytical tools or you've brought in consultants who are looking at demand elasticity. What actually is going on there? 
Michael Vels: Sorry, for what? Which element? 
Michael Medline: Promo optimization. 
Michael Vels: Yes, promo optimization. Sorry, I thought you're talking about the space [ph] part of it. When you say what's going on, it really is informing our merchandises across the board, so not just some of it here is merchandising beat, right. It focuses in on a category like we do obviously, but it is a calculations and the outputs and the sensitivities that it reflects, rolling the effects through the entire store. So it forces, which is very new for our business, and I think it's a big part of becoming great at category management. It forces a category manager to really understand the impacts that they are making on the store outside of their category to start with and you know that may sound really obvious, but it’s pretty powerful.  And then because of the fact that it's very rich in data and it enables us to do a lot of scenario analysis, you know virtually almost real time, it completely changes the discussions with suppliers. And we can talk about a $0.05 or a $0.07 difference on a promotion or a funding level you know with the supplier and show them almost in real time you know where they are incorrect as to what their impact, the impact of their promotion is going to be on that category and our store in total, and it enables our more tactical negotiations on promotions with suppliers to be materially better.  And the reason that we think this is going to get better and better over the year and over time is we’re only at the beginning of that, and we're still in the, call it the trading period, in many respects when you look at those higher level discussions and those improved negotiations.  So it is as simple as putting incredibly strong insightful data into the hands of people that were already pretty good at category management. But it's bringing it all together in an ecosystem and across stores and processes that we are finding most of the power, where people are becoming much more business minded as opposed to just wondering about next week's conversion. 
Peter Sklar: Okay, thank you. That's all I have. 
Operator: Thank you. Next question will be from Chris Li at Desjardins. Please go ahead. 
Chris Li: Thanks for squeezing me in. Good afternoon! Can you update us on where you are in your journey with Own Brand? I know it was a huge initiative last year. How much of the benefits have been realized in the margins so far and then is there still more benefits to come? Thank you. 
Michael Vels: Own Brand is part of Horizon. We're on track on benefit. We rebuild category, so when its done, we are at the end of week two. We then store in the next few months. So we are on track to deliver the benefit from Own Brand into the Horizon project. So really pleased with the progress of rebranding it.  Like I said, in previous quarters the rebranding is completed. We’re now building – rebuild the assortment and make sure that the assortment is relevant in every single category and we’re very happy with the results so far. The penetration continued to be better. The margin continued to be better and we see an improvement year-over-year, so – and we expect to finish that rebuild this fiscal year and get all the benefit in the next fiscal year. 
Chris Li: Okay, great, that's very helpful. And then maybe another question I had is just your Horizon plan implies, I think EPS of roughly $3 a share in fiscal ‘23, which will imply a very nice ramp up from this year's level. I guess my question is you know how confident are you that this will be achieved since I think the back half of the Horizon plan is largely predicated on sales growth and market share gains, which are obviously a bit more risky, because it's not fully within your control. Are there other levers you can pull to achieve that target, even if say sales do not pan out the way we expect? Thanks. 
Michael Medline: So, that's an interesting question Chris. I mean I could be a little flippant [ph] and say both myself and Michael and the team we have, we basically plan for success right. So you know if you have to really ask us, we’re not going to accept failure here, so – and one way or the other our goal and our job and our expectation – it has been our expectation to hit targets. So that is still our expectation and we don't feel we need to deviate from that whatsoever.  But having said that, you know that’s a generic answer and it doesn't help you much. You know something Michael actually said to us and we’re having a conversation about this not that long ago, was if you portion out your strategy into three year segments right like we have, inevitably the second is the hardest one, because you know there's a lot of setup and a lot of maybe easier – I’m not sure it’s easier, but the first year goes according to plan, your targets become a lot higher in year two when you have to hit them.  But you need to have momentum heading out of year two into year three and so a lot of the heavy lifting and the foundations and the details of what you put in place in year two is the most important part of that three year period. And it’s not quite like you're just harvesting in year three, but you really need to get year two right, and so far we feel good about it. We're on track; we have great plans; our teams are engaged; and so far so good. So you know this is just a matter of execution and we're executing on a number of items.  That makes to some extent it’s a little bit lower risk, because we’re not just relying on one thing to happen, at the same time it’s a lot of balls to keep in the air. But so far we're doing well from an execution perspective. So we see no reason why we can't hit our goals and we expect to. 
Chris Li: That's helpful. Thanks Mike and best of luck! 
Michael Medline: Thank you.
Operator: Thank you. And at this time I would like to turn the call back over to Ms. Brine. 
Katie Brine: Great! Thank you, Sylvie. We appreciate your continued interest in Empire. If there are any unanswered questions, please contact me by email. We look forward to having you join us for our second quarter fiscal 2022 conference call on December 9. Talk soon.
Operator: Thank you. Ladies and gentlemen, this does indeed conclude your conference call for today. Once again, thank you for attending and at this time, we do ask that you please disconnect your lines.